Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Corporation's First Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, May 6, 2013. I would now like to turn the call over to today's host, Dave Hansen, Westlake's Senior Vice President of Administration. Sir, you may begin.
David R. Hansen: Thank you. And good morning, everyone, and welcome to the Westlake Chemical Corporation First Quarter 2013 Conference Call. I am joined today by Albert Chao, our President and CEO; Steve Bender, our Senior Vice President and Chief Financial Officer; and other members of our management team. The conference call agenda will begin with Albert, who will open with a few comments regarding Westlake's performance in the first quarter and a current perspective on our industry. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments, and we will then open the call up for questions. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and, thus, are subject to risks or uncertainties. Actual results could differ materially based upon factors including the cyclical nature of the chemical industry; availability, cost and volatility of raw materials, energy and utilities; governmental regulatory actions and political unrest; global economic conditions; industry operating rates; the supply-demand balance for Westlake's products; competitive products and pricing pressures; access to capital markets; technological developments; and other risk factors. This morning, Westlake issued a press release with details of our first quarter financial and operating results. This document is available in the Press Release section of our webpage at westlake.com. A replay of today's call will be available beginning 1 hour after completion of this call until 1:00 p.m. Eastern Time on May 13, 2013. The replay may be accessed by dialing the following numbers: domestic callers should dial 1 (888) 286-8010; international callers may access the replay at (617) 801-6888. The access code for both numbers is 98491159. Please note that information reported on this call speaks only as of today, May 6, 2013, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of the replay. Finally, I would advise you that this conference call is being broadcast live through an Internet webcast system, and it can be accessed at our webpage at westlake.com. Now I'd like to turn the call over to Albert Chao. Albert?
Albert Y. Chao: Thank you, Dave. Good morning, ladies and gentlemen, and thank you for joining our earnings call. The first quarter of 2013 was a strong quarter for Westlake, one which we believe demonstrates the earnings potential of our light feedstock crackers. I will discuss with you today our results, which we were able to achieve in the quarter when we completed a significant turnaround and expansion of one of our ethylene crackers at our Lake Charles, Louisiana site, adding 240 million pounds of ethylene capacity to our system. We are among the first companies to complete an expansion of an ethylene unit and have successfully achieved our production goals associated with this expansion. This morning, we reported record quarterly net income of $123 million or $1.84 per diluted share. This quarterly record is driven by low-cost feedstocks that are, as a result of the abundant supply of natural gas liquids, available from the shale oil and gas production in the U.S. Both our segments had benefited from the higher margins resulting from lower feedstock and energy costs. We believe that the feedstock cost advantage for U.S. ethylene producers will continue with the growing production of natural gas liquids from shale, gas and oil production and significant additions to natural gas liquids fractionation capacity that will bring ethane into the market faster than it can be consumed. To capitalize on these new -- on these low-cost feedstocks, we have announced, beginning in 2011, a series of ethylene expansions, the first of which was completed this quarter at our Lake Charles facility. This expansion and those that will follow in 2014 and 2015 will enhance our ethylene integration and improve our cost structure going forward. We also note that housing construction showed moderate recovery in the first quarter, as housing starts showed a gradual increase as the industry heads into the spring building season. The improvement in operating income from our Vinyls segment primarily reflects stronger integrated Vinyls chain margins resulting from lower feedstock costs. On May 1, we acquired the Pipe and Foundation Group of CertainTeed Corporation for $175 million in cash. This acquisition includes the PVC pipe fittings, profiles and foundation business and associated operating facilities, with production capacity of approximately 150 million pounds per year. We also acquired technologies and intellectual properties for the production of a number of specialized products. This strong section enhances our North American pipe and building products business by adding an important series of specialty product lines and supporting technologies. Now let me turn it over to Steve for a more detailed look at our financial and operating results.
M. Steven Bender: Thank you, Albert, and good morning, everyone. I will begin with a discussion of our consolidated financial results, followed by a detailed discussion of our Olefins and Vinyls segment results. Let me start with our consolidated results. As Albert just mentioned, we reported a record quarterly net income for the first quarter of 2013 of $123 million or $1.84 per diluted share, an increase of approximately 40% over the first quarter of 2012 net income of $88 million or $1.31 per share. Our first quarter results include the impact of the ethylene cracker outage associated with the turnaround and expansion activities of that cracker, which I will discuss when I address our Olefins segment results. The favorable dynamic in natural gas liquids continued as we saw industry feedstock costs decline 54% for ethane and 31% for propane over the same period last year, contributing to the expansion of our integrated margins. Sales for the first quarter of 2013 of $865 million, which were $170 million lower than sales of $1 billion reported in the first quarter of 2012 as a result of the lower sales volumes for feedstock, ethylene and ethylene co-products. Westlake's operating income for the first quarter of 2013 was also a record at $194 million, an increase of $48 million compared to the operating income of $146 million in the first quarter of 2012. The increase in operating income compared to first quarter 2012 was the result of improved Olefins and Vinyls integrated product margins, largely due to the lower feedstock and energy cost. Sales of $865 million in the first quarter of 2013 were $64 million higher than the sales in the fourth quarter of 2012. The increase in sales was largely driven by higher sales prices for most major products and an increase in our PVC building products and PVC resin sales volumes. The first quarter operating income of $194 million was $38 million higher than in the fourth quarter 2012 as we saw higher integrated margins for our Olefins and Vinyls segment, resulting from lower feedstock cost and higher sales prices and volumes from most of our major products. Now let me review the performance of our 2 segments. Starting with the Olefins segment. The Olefins segment reported operating income of $161 million on sales of $583 million during the first quarter of 2013 compared to an operating income of $129 million on sales of $732 million in the same period of 2012. The lower sales were largely attributable to lower sales volumes for feedstock, ethylene and ethylene co-products in the first quarter of 2013 compared to the first quarter of 2012. Ethylene and ethylene co-products sales volumes were lower primarily due to the planned Lake Charles cracker outage, which occurred in the first quarter of 2013. The higher operating income was mainly attributable to higher Olefins integrated product margins, which improved primarily as a result of lower feedstock cost and energy cost, partially offset by lower sales prices. Olefins' operating income of $161 million in the first quarter of 2013 was $18 million higher than operating income of $143 million in the fourth quarter of 2012. The increase in operating income was the result of higher integrated Olefins margins due to our higher sales prices and lower feedstock and energy cost. Elevated ethylene prices and good demand for polyethylene supported industry price increases from polyethylene, totaling $0.09 a pound during the first quarter. Looking forward to the second quarter, the industry has announced an additional polyethylene price increase of $0.04 a pound going into effect in May. Industry forecasts that the typical second quarter heavy maintenance turnaround schedule is expected to take approximately 8% of ethylene capacity offline during the quarter. The results of the Olefins segment in the first quarter were impacted by the ethylene cracker turnaround and expansion of one of our crackers at our Lake Charles facility, which resulted in the unit being down for 74 days. Our results were impacted by the utilization of purchased ethylene, which increased our average cost to manufacture polyethylene. We estimate that the impact of the lost production and associated costs to be approximately $48 million on a pretax basis in the first quarter results, and I would estimate an additional $30 million impacting our second quarter 2013 pretax earnings. Now let me move on to the Vinyls segment. The Vinyls segment reported income from operations of $44 million in the first quarter of 2013, approaching levels last seen in 2006. Income from operations in the first quarter of 2013 doubled those reported in the first quarter 2012 of $21 million. The increase in earnings was the result of higher Vinyls integrated product margins, largely resulting from lower feedstock cost. Domestic PVC sales increased on the first quarter, reflecting an increased domestic demand being driven by gradual improvement in housing-related construction. The Vinyls operating income of $44 million in the first quarter of 2013 was an improvement over the $18 million reported of operating income for the fourth quarter of 2012. The increase in operating income was a result of favorable propane-based ethylene economics and higher sales volumes for PVC resin, building products and caustic. Improved construction levels and milder winter conditions in most of the country for the first quarter have contributed to an earlier start to the construction season and provided the Vinyls segment an increase in domestic PVC resin sales volume. The company's caustic sales remained steady in the first quarter, and industry caustic prices remained $20 a ton higher than the average for the year 2012. Producers have announced price increases of between $30 and $60 per ton effective for the second quarter. Now let me turn to the balance sheet and the statement of cash flow. Our cash and marketable securities balance was $873 million and our total debt was $764 million at the end of the first quarter. We generated $116 million in cash from operating activities in the first quarter of 2013 and spent $151 million on capital expenditures. To help you with the modeling of these projects, I would like to remind you that our capital expenditures are being funded from our cash balances, and interest associated with the funding of these projects is being capitalized and will be expensed over the life of the project. We expect our interest expense for 2013 to be in the range of $23 million to $27 million. Our guidance for this year's capital expenditures remain between $500 million and $550 million, which includes the recently completed Lake Charles ethylene expansion, the completion of our Geismar chlor-alkali plant and our Calvert City feedstock conversion and expansion project. The flexibility of our capital structure gives us a variety of options when considering growth prospects, and this flexibility allows us to maintain our conservative approach to investing or pursuing projects that bring value to our shareholders. I would now like to turn the call back over to Albert to make some closing comments. Albert?
Albert Y. Chao: Thank you, Steve. We had an excellent quarter, and the feedstock market environment gives me optimism that the significant cost benefits brought about by the growing natural gas liquids production from shale oil and gas drilling will continue. The billions of dollars being invested in North America to produce, fractionate and transport natural gas liquids should keep feedstocks abundant and allow the U.S. to remain cost-advantaged. We continue to deploy capital in near-term growth initiatives to support our integration strategy and expand our production capacity in a manner that will leverage the benefits of this expanding natural gas liquids production. We made important progress in the first quarter as we completed the turnaround expansion of another cracker in Lake Charles. We expect to complete our chlor-alkali plant in the fourth quarter of this year. In the first half of 2014, we also plan to complete expansion of our Calvert City ethylene unit, increasing capacity by 40% from 450 million pounds to 630 million pounds a year, and converting that ethylene cracker from propane to ethane feedstock. This work allows us to utilize low-cost ethane from the Marcellus and Utica shale gas fields, lowering our cost of production, and also facilitates the expansion of our PVC facility in Calvert City by 200 million pounds in 2014. We are targeting 2015 to expand our ethylene -- our other ethylene cracker in Lake Charles. These projects will complete our production integration, leverage our existing asset base and meaningfully add to our earnings potential. We believe the natural gas liquids from shale oil and gas will benefit us for years to come, and thus remain optimistic for the future. Thank you very much. Now I'll turn the call back over to Dave Hansen.
David R. Hansen: Thank you, Albert. Ladies and gentlemen, before we begin taking questions, I'd like to remind you that a replay of this teleconference will be available starting 1 hour after we conclude this call. We will provide that number again at the end of the call. Operator, we're now prepared to take questions.
Operator: [Operator Instructions] Your first question is from the line of Brian Maguire from Goldman Sachs.
Brian Maguire - Goldman Sachs Group Inc., Research Division: I was hoping you could quantify some of the nonoperational gains and losses that might have occurred in the quarter. First off, just wonder if you could quantify the FIFO impact, and then any potential trading gain or loss that you might have had in the quarter?
M. Steven Bender: Brian, we saw rising feedstocks, so there was a FIFO LIFO effect. We didn't break it out this quarter, but it was embedded in that $48 million number that impacted our first quarter results that I mentioned earlier. As it relates to trading activity, we had $7 million gain in the quarter.
Brian Maguire - Goldman Sachs Group Inc., Research Division: Okay. And I noticed the corporate expenses were a little bit higher. I was just wondering if there were some onetime expenses related to the CertainTeed acquisition that were in there, or is that $11 million a pretty good run rate going forward?
M. Steven Bender: No. That -- remember, that also includes some of the intercompany elimination numbers between the segments, and so I wouldn't use that as a run rate number. There are some small numbers related to the CertainTeed transaction, but a lot of that is just intercompany elimination.
Brian Maguire - Goldman Sachs Group Inc., Research Division: Great. And then I just wanted to better understand the unit margin accounting related to the building of inventory in the fourth quarter and also the fixed cost absorption in the first quarter and how that might impact the second quarter. I think you mentioned about a $30 million pretax impact to the second quarter. So if I understand, you ran your plant harder than normal in the fourth quarter. So you had better fixed cost absorption that would have probably helped your cost of goods sold in the first quarter, and likewise, you weren't able to run your plant very hard because of the turnaround in the first quarter and that will hurt the second quarter unit margins. Is that -- am I thinking about it right there?
M. Steven Bender: This is mostly related -- Brian, the $30 million pretax number I mentioned is mostly related to the impact of lost production and the impact of buying ethylene in the first quarter that will be consumed more fully in polyethylene that comes through in the second quarter.
Brian Maguire - Goldman Sachs Group Inc., Research Division: Because of the FIFO accounting, you see it more in the second quarter -- or you see it impact in the second quarter?
M. Steven Bender: That's right. I mentioned at the end of the year, in our call in February, that'd be about a 2/3, 1/3 split, and that's what you're seeing here, is about 2/3 effect in the first quarter and the other 1/3 in the second quarter. But that $30 million is that second quarter impact.
Operator: Your next question comes from the line of Andy Cash from Suntrust Robinson Humphrey.
Andrew W. Cash - SunTrust Robinson Humphrey, Inc., Research Division: Just a question on that $48 million, just a clarification on that, did that include the $20 million in unabsorbed cost?
M. Steven Bender: Yes.
Andrew W. Cash - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then also, the Olefins volume was down 18% year-over-year. Could you give us an idea of the polyolefin change year-over-year?
M. Steven Bender: Well, the lower numbers were really just as a result of selling ethylene and ethylene co-products on a year-to-year comparison.
Andrew W. Cash - SunTrust Robinson Humphrey, Inc., Research Division: Okay. So poly is -- was it kind of flat or up year-over-year? Just curious.
M. Steven Bender: We saw good results on a comparative basis, yes.
Operator: Your next question comes from the line of Hassan Ahmed from Alembic Global.
Hassan I. Ahmed - Alembic Global Advisors: Decent numbers and profitability on the Vinyls side. As I look out, let's say, over the next couple of quarters, a couple of moving parts. Obviously, we've seen some PVC and VCM price hikes, probably partly because of improving demand, but partly also because of certain outages in the industry, so that's one side of it. Then on the caustic side, obviously, we're seeing some incremental for like-like capacity coming online over the next couple of quarters. So I just wanted your view about the sustainability of sort of the current pricing regime, as well as the margin regime over there.
Albert Y. Chao: Yes. There's a $30 to $60 price announcement for the second quarter for caustic, and as we are in the middle of the second quarter, we'll see how that will pan out. We believe that certain portion of the price increase will be affected.
Hassan I. Ahmed - Alembic Global Advisors: Fair enough. And what about the PVC side of things?
Albert Y. Chao: PVC, we had an $0.08 price increase for the first quarter. And so far, there's no other price announcements in the second quarter.
Hassan I. Ahmed - Alembic Global Advisors: But you see it being sustained, at least as of now?
Albert Y. Chao: We believe the demand is still very good in the U.S., and with the U.S. cost advantage, the export market is also available.
Hassan I. Ahmed - Alembic Global Advisors: Fair. Now a follow-up, slightly sort of longer-term. Obviously, you're still in the process of some brownfield activity, coming to an end, call it, out in 2015, but this CapEx cycle of yours is imminently coming to an end. So as we look beyond that, how should we be thinking in terms of allocation of that cash that you're generating, be it between special dividends or greenfield facilities or the like. What are the priorities there?
Albert Y. Chao: Well, our priorities are the same. We'll look for investments that will return at or above our cost capital on a risk-adjusted basis. And after that, we'll look at potential acquisition as well, and then look at paying down debt and then look at return to shareholders.
Hassan I. Ahmed - Alembic Global Advisors: But Albert, specifically, obviously, there was a special dividend that you announced last year. Obviously, the priorities were very similar last year, as I'm sure they are this year as well. So I mean, what's the thought process with regards to special dividends in, call it, 2013 and '14?
Albert Y. Chao: Certainly. The board look at dividends, whether it's a regular dividend or special dividends, every quarter. And so if the board decides to increase dividends or place priorities, we'll announce it when the board decides.
Operator: Your next question comes from the line of Don Carson from Susquehanna Financial.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: A couple of questions. On the Vinyls side, Albert, how long does it take those caustic increases to get through? So you announced $30 in Q1 and there was another $40 announcement on May 1. When would you expect to realize any of that May 1 increase, if in fact it does hold?
Albert Y. Chao: Well, as the sales terms permits, whether, contractually, we have delays or not, but as soon as the sales turn to permits [ph], the price increase will be in effect.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: And as you look out the next 6 to 12 months, what do you see the impact of all these chlor-alkali expansions? I mean, your own expansion, for example, you'll be backing out some purchase product. So as this new capacity comes online, are you expecting that to put pressure on caustic pricing?
Albert Y. Chao: Well, certainly, if the capacities are not reduced by other players, it will have a pressure on caustic pricing. And as you know, U.S. still has one of the lowest power costs in the world, so caustic can be exported. But there are discussions with some caustic producers who would reduce the operating rates of the existing chlor-alkali plants.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: And a follow-up on Olefins demand, polyolefins demand. We've seen, despite, as you mentioned, the significant outages, we've seen spot ethylene coming down. And some of the buyers are talking about how we've seen $0.09 of polyethylene price increases in a flat ethylene environment. Are you seeing a destocking going on, on the part of some of your domestic customers in anticipation of lower second quarter polyethylene prices?
Albert Y. Chao: Well, there's about 8% ethylene outage in the second quarter, and some of them are just getting started. So it's difficult to tell how tight the ethylene market and price will be. From month to month, when we give price announcements, customers, downstream certainly, they take advantage of where they can of building stocks of polyethylene before the price increase. But most fabricators, they only -- they want to limit how much they want inventory to increase because their prices are volatile. So we think that the impact is very short term, maybe 1 month or 2 at most.
Operator: Your next question is from the line of Kevin McCarthy from Bank of America Merrill Lynch.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: This is Alex Yefremov for Kevin. Can you give us the latest timeline for your chlor-alkali expansion at Geismar?
Albert Y. Chao: Yes. We are estimating it to be completed by the fourth quarter of this year.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: And also, Albert, I wanted to ask you about your view of Westlake's PVC capacity. Potentially, if we have pretty good PVC margins this year and next, do you see Westlake adding to PVC capacity in addition to your 200 million pounds expansion at Calvert City?
Albert Y. Chao: This is the current capacity expansion looking at -- which will come on stream 2014, next year. Whether we should expand further, we are studying various options, both in the Vinyls and Olefins business.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: And a final question, if I may. Albert, I know you don't export much PVC, but do you see a slowdown in exports affecting industry-wide volumes in the second quarter so far?
Albert Y. Chao: I think the export from the U.S. in PVC are determined by the feedstock costs and the global prices. If U.S. feedstock costs can be competitive from purchased feedstock now, then the world market is huge, so it can absorb the U.S. export.
Operator: Your next question is from the line of Frank Mitsch from Wells Fargo Securities.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: I noticed that the Vinyls EBIT basically doubled year-over-year. And obviously, you guys embed a cracker in that unit as well. I'm wondering, what percent of that increase would you attribute to kind of the Olefins margin pickup versus the improvement that we're seeing in caustic and PVC and Building products?
Albert Y. Chao: Yes, I think the ethylene component in our Vinyls business does make a large contribution. As we said that the first quarter 2013 versus first quarter 2012, propylene price dropped 31%, so that's a significant improvement in feedstock costs.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: Yes. Any chance there was a 25% help, 50% of that help?
Albert Y. Chao: No, we haven't quantified that.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: All right. And as you look at the housing opportunity out there and you made the -- obviously, the CertainTeed acquisition, was that a signal that we might see some more in -- more plays in housing recovery? How should we think about Westlake's M&A opportunities going forward?
Albert Y. Chao: Well, we believe the housing recovery is improving, but it's gradual. I think people are estimating between 900,000 to 1 million units, 2013, 2014. As far as M&A, it's whenever that a deal makes good business sense, then we'll consider that.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: How would you describe the current M&A environment? Is it a buyers market, is it a sellers market or is it more neutral?
Albert Y. Chao: We believe it's neutral.
Operator: Your next question is from the line of John Roberts with UBS.
John Roberts: I was wondering how you saw your capital spending the next few years after 2013 or early 2014? Do you think you'll be able to backfill projects to stay at the current level, or do you think you might roll off towards maintenance just because, if you don't have things in the hopper now, the engineering industry will be tight enough that you might not be able to get projects queued in?
M. Steven Bender: Yes. John, the 2013 number is a peak-ish number at the $500 million to $550 million level. We are spending monies now, and we'll continue into '14 to finish these projects that I referenced to in Kentucky. And as we mentioned, we're also assessing the expansion in Lake Charles in 2015. But those capital dollars will be smaller than the peak numbers we're seeing this year.
John Roberts: And how fast do you think they might roll down?
M. Steven Bender: Well, we haven't given guidance for 2014 or '15, but we will toward the end of this year, but they will come down significantly from where we are today.
Operator: [Operator Instructions] Your next question is from the line of Gregg Goodnight with UBS.
Gregg A. Goodnight - UBS Investment Bank, Research Division: In the past, when you talked about these ethylene expansions, you always talked about capacity in a range. This morning, you talked about 240 million pounds as a benchmark number. Is that based upon your demonstrated instantaneous rates, or is there a possibility you could eventually go up in the upper end of the range, which I recall was around 250 million?
Albert Y. Chao: Yes. I think we said the range was 240 million, 250 million. As you know, 1 month's run does not make numbers, and we have hit our target of 240 million, and our engineers, I'm sure, are very busy trying to increase that target if possible.
Gregg A. Goodnight - UBS Investment Bank, Research Division: Okay. Second question. In terms of polyethylene prices, they were flattish in April. Some of the consultants were indicating there might be some downward pressure in May. Thus far in the month, what's the trend? Is it going to be flat or a little bit down, or how does it look?
Albert Y. Chao: There's a $0.04 a pound price increase for May, and as we are early into May, we don't know how that $0.04 a pound will pan out.
Gregg A. Goodnight - UBS Investment Bank, Research Division: Okay. Is there any possibility that the pressure, say, global oil prices, global polyethylene prices, could result in a downward movement in prices in May, in your opinion?
Albert Y. Chao: I think with the upcoming turnaround season, which will impact 8% of capacity ethylene, I think ethylene price were to have a big impact on the price of polyethylene going forward.
Operator: Your next question is from the line of Bill Young from ChemSpeak.
William Young: I have a question about CertainTeed. Which part of their product mix would you say is the most profitable, and how would you compare it to the old North American pipe?
Albert Y. Chao: Well, it's focused more on the specialty pipe area. They have special intellectual properties. And as we just closed it a few days ago, we'll have more to report back in the future quarters.
William Young: Well, do you have any update on the synergies that you might achieve?
M. Steven Bender: Bill, we've not quantified that number specifically. But as we indicated, there are some good opportunities to integrate this business and achieve those, but we've given no particular guidance on synergies.
Operator: [Operator Instructions] And the question will come from Richard O'Reilly from Revere Associates.
Richard O'Reilly: Two quick questions. I think your press release, at least, says that your PVC prices were down year-over-year, but the prices shown by IHS shows it up about $0.025. Can you just explain why your prices would be different from what the industry benchmark would look like?
Albert Y. Chao: Certainly. Industry benchmark announces the time when the price -- when the increase or decrease went into effect. But with price increase, sometimes there's delay in actually getting the price increase. So sometimes, there is a delay. When it's price decrease, it's quite immediate.
Richard O'Reilly: Okay. Okay, so it might be timing of your contracts and your customer base versus the industry benchmark, okay. Second, I'm going to ask Steve to repeat himself. The $48 million number, I guess I'm confused what that includes in addition to the $20 million on absorbed costs from the turnaround.
M. Steven Bender: That also includes lost production effect. So the $20 million we made reference to is just unabsorbed manufacturing cost, but the $48 million is including of lost production as well.
Richard O'Reilly: Okay. Plus the FIFO impact, I think you include -- you expect...
M. Steven Bender: Yes. That's correct.
Operator: Your next question is a follow-up from the line of Gregg Goodnight with UBS.
Gregg A. Goodnight - UBS Investment Bank, Research Division: Albert, you mentioned some incremental technology that you acquired with the CertainTeed acquisition. I was just wondering if you could sort of give a qualitative view of will this technology be applicable for your fabricated products in other areas, or could you just add a little color for that for us?
Albert Y. Chao: Certainly. The CertainTeed part, it goes mainly into pipe and fittings and some foundations. The foundation is something that we don't make, but the pipe area, which is the largest part of CertainTeed's business, that the manufacturing process is more or less similar to our other pipe manufacturing. So the synergies can be applied over time to our other North American pipe business.
Operator: Your next question is a follow-up from the line of Brian Maguire from Goldman Sachs.
Brian Maguire - Goldman Sachs Group Inc., Research Division: Albert, I was hoping you might give an update on your thinking about the MLP route and whether that's still on the table and what your kind of latest thoughts are there?
M. Steven Bender: Brian, this is Steve. As we've said consistently, it's an area that we're continuing to study. As I mentioned, it is a complex area with a lot of complex elements related to tax and other pieces. So we're continuing to assess and study this process.
Brian Maguire - Goldman Sachs Group Inc., Research Division: Okay. And I think you mentioned the expansion went sort of as planned, the capacity upgrade you're in, in the month of April kind of at that upgraded level. Can you just comment also on the feedslate change there? Are you now able to run 100% ethane through the unit instead of an EP mix? Did that go according to plan?
Albert Y. Chao: Yes. We are cracking much more ethane than in the past, yes.
Brian Maguire - Goldman Sachs Group Inc., Research Division: Okay. Just one final housekeeping one. Could you just comment on the share count in the quarter? And also, the other income line picked up a little bit. Could you just maybe comment on what drove that?
M. Steven Bender: Yes. The other income was simply just a tax-related income item here. And share count, again, was -- bear with me just one moment, was 67.2 million shares.
Operator: At this time, the question-and-answer session has now ended. With no further questions, I'd like to turn the call back over to Mr. Dave Hansen for your closing and final remarks.
David R. Hansen: We appreciate you joining us for the call today. We hope that you will join us again for our next conference call to discuss our next quarter results. Thank you very much, and have a wonderful day.
Operator: Thank you for participating in today's Westlake Chemical Corporation First Quarter Earnings Conference Call. As a reminder, this call will be available for replay beginning 1 hour after the call has ended, and may be accessed until 1:00 p.m. Eastern on May 13, 2013. The replay can be accessed by calling the following numbers: domestic callers should dial 1 (888) 286-8010; international callers may access the replay at (617) 801-6888, and the access code at both numbers is 98491159. Thank you for your participation. You may now disconnect.